Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 PROS Holdings, Inc. Earnings Conference Call. My name is Melanie, and I’ll be your coordinator today. At this time, all participants are in listen-only mode. We will accept your questions at the end of the conference. (Operator Instructions) As a reminder, today’s call will be recorded.
 I would now like to turn the call over to Mr. Damian Olthoff, General Counsel. Please proceed. 
Damian Olthoff: Thank you, operator. Good afternoon, everyone, and thank you for joining us today for the PROS Holdings financial results conference call for the fourth quarter and year end 2011. My name is Damian Olthoff, and I’m the General Counsel of PROS. Joining me today for today’s call is Mr. Andres Reiner, our President and Chief Executive Officer; and Charlie Murphy, our Chief Financial Officer.
 In today’s conference call, Andres will provide a commentary on the fourth quarter and full year of 2011 and then Charlie will provide the review of the financial results and our outlook before we open up the call to questions.
 Before beginning, we must caution you that some of today’s remarks, including our guidance for the year, our competitive position, future business prospects, revenue growth, market opportunities as well as statements made during the question-and-answer session contain forward-looking statements. These statements are subject to numerous and important factors, risks and uncertainties, which could cause actual results to differ from the results implied by these or other forward-looking statements.
 Also, these statements are all based solely on the present information and are subject to risks and uncertainties that can cause actual results to differ materially from those projected in the forward-looking statements. Additional information concerning risks and other factors that may cause actual results to differ can be found in the company’s filings with the SEC. Also, please note that a replay of today’s webcast will be available in the Investor Relations section of our website at www.prospricing.com.
 Finally, PROS has provided in its earnings release and will provide in this conference call forward-looking guidance. We will not provide any guidance or updates on our performance during the year unless we do so in a public form. PROS does not assume any obligation to update the forward-looking statements provided to -- to events that occur or circumstances that exist after the date on which they are made.
 I’d also like to point out that in addition to reporting financial results in accordance with generally accepted accounting principles or GAAP, PROS reports certain non-GAAP financial results. Investors are encouraged to review the reconciliation of each non-GAAP measure to the most directly comparable GAAP measure in the tables accompanying the press release distributed earlier today and can also read down on our website in the Investor Relation section.
 With that I would like turn the call over to Andres. 
Andres Reiner: Thank you, Damian and thank you to all who are joining us on today’s call. 2011 was an extremely strong year for PROS and we enter 2012 very well positioned to capitalize on our sizeable market opportunity. We are confident that our growth strategies are working. Awareness and adoption of PROS is increasing. Our customers are realizing high value for more solutions. Our partner ecosystem is strengthening and our product innovations continue to set the pace in the market. We believe this combination positions PROS as a software provider of choice for companies interested in improving revenues and profitability.
 We are excited to announce another record performance in the fourth quarter, where we exceeded the high end our guidance on all of our primary guidance metrics. We report a revenues of $26.2 million, a 30% increase over the fourth quarter of 2010. Non-GAAP operating income was $4.5 million for the fourth quarter, up 56% from a year ago. And non-GAAP EPS for the fourth quarter was $0.11 per share, up $0.08 a year ago.
 For the full year 2011, we also exceeded the high end of our guidance for revenues and operating margins. Full year revenue of $96.6 million was a 30% increase over 2010. Non-GAAP operating income for the full year was $15.4 million, resulting in operating margins of 16%, and full year non-GAAP earnings per share were $0.39. Our 2011 non-GAAP operating margin was ahead of plan due to stronger than expected top line growth. We will continue to invest in our business going forward to realize the long-term opportunity. Our strong performance throughout the year in particularly in the fourth quarter from end of year backlog to a record $124.1 million, up 16% year-over-year.
 In 2011, we extended our market leadership position by adding to our growing list of world class customers. We are pleased to have been selected by Autodesk, Air Europa, Coates Hire, Kemira, Novozymes and Sunoco, among others. We were selected by these companies based on our partnership approach, our proven history of success, our high customer reference ability and our clear leadership position. We also deemed our partnerships with numerous existing customers as they extended the value of PROS solutions to new parts of their business or licensed additional software modules. Examples of this include long time customers BASF and Lufthansa. For the second year in a row our ability to deliver meaningful value also earned us recognition as Strategic Vendor of the Year by a customer. And our high levels of value and customer satisfaction enabled PROS to again deliver very strong maintenance renewal rates in the mid-90% range. We believe these accomplishments are further evidence of the value we deliver to our customers and the strengthening of our leadership position in the markets we serve.
 In 2011, we made great progress executing against the three pillars of our growth strategy which will remain our key initiatives for 2012. These include accelerating awareness and adoption of PROS, further extending our product leadership and increasing our global reach and scale. Let me share a few highlights of each. In 2011, we invested in sales and marketing initiatives to accelerate awareness and adoption of pricing software. Our efforts resulted in a far stronger demand generation in sales pipeline year-over-year positioning us to further success in 2012 and beyond. We expanded our direct sales force by 50% to bring our total quota-carrying personnel to 28 at year end.
 We now have a stronger sales force that at any time in our history with additional sales capacity and increased length of tenure. In addition, our message is reaching our target audience through articles in mainstream publications like CFO Magazine, through reports from industry analysts like Gartner and through our presses at major marketing events around the globe such as SAP Sapphire in the U.S., Europe and China. We will continue to invest in sales and marketing initiatives in 2012 to drive sustainable levels of growth for years to come.
 Our continued focus on extending our product leadership position in 2011 resulted in new products, new patents and the highest rating achievable from Gartner. In 2011, we introduce our first cloud-based view quoting and pricing solutions for the midmarket. As more companies continue to recognize the importance of guided selling for outperforming their competition, we remain optimistic about the long-term opportunity our midmarket products create and their potential contributions to our growth.
 As part of our ongoing commitment to providing customers with the most innovative and comprehensive solutions available, we released the latest versions of our enterprise pricing and revenue management solutions and added more time-saving [ph] technologies to our portfolio. We believe these investments and innovation contributed to our rating of strong positive by Gartner in their annual report on price optimization software. We will continue to invest in product innovation in 2012 to deliver additional capabilities that our customers have come to expect from PROS.
 Increasing our global reach and scale was another key strategic area for us in 2011. For the first time we introduced an indirect sales channel. The signing of resellers in Brazil, China, Portugal and Spain both broaden our international reach and helped to expand our pipeline of future opportunities. Our focus in 2012 will continue to be on enabling our resellers to create awareness and demand in their markets, with the expectation that they will contribute our long-term growth. 
 In order to drive our three key growth strategies during 2011, we added a 111 employees, a 26% increase. Investments in our high performing organization positions PROS to capitalize on the sizeable opportunities ahead. As we look through 2012, we will continue to invest in initiatives that drive growth and to focus on accelerating awareness and adoption, extending our product leadership position and increasing our global reach and scale. We are confident going into 2012, because we are well positioned to help companies compete and win in their markets, by turning pricing into a strategic advantage. We have proven that we can help companies unlock the power hidden within their big data to provide actionable insights that lead to growth and profitability.
 Our solutions have enabled better business agility in the face of cost and currency volatility. We have proven that we can help improve the effectiveness of sales organizations by enabling them to negotiate through deals with far greater confidence. We are optimistic about 2012, because we are seeing signs that the market is evolving and maturing with more educated buyers and with more companies speaking publicly about their successful pricing initiatives. We believe we have the right people, products, customers and strategies to serve this growing market.
 Now, let me turn the call over to Charlie, so he can provide you with a review of our financial results and our outlook for the first quarter of 2012. 
Charles Murphy: I will be discussing our financial results on a non-GAAP basis. A total GAAP to non-GAAP reconciliation is included in our earnings release which can be found on our website in the Investor Relations section. We are pleased with our performance in the fourth quarter with revenue of $26.2 million, which is up 30% from a year ago and exceeded our guided range.
 License and implementation revenue was $17.5 million, up 38% from a year ago. License and implementation fees are bundled together and revenue is generally recognized on a percentage of completion basis over the implementation period, with no revenue recognized at contract signing. Maintenance and support revenue of $8.7 million was up 16% year-over-year and represents the largest component of revenue from recurring sources. Total recurring revenue, which includes maintenance and support revenue, and a number of term license contracts was 42% of total revenue in the fourth quarter. 
 For the year, 64% of our revenue came from outside of the United States, compared to 58% year ago. 28% of our revenue in 2011 came from Europe compare to 23% in 2010. We continue to diversify our revenue around the globe and we are pleased with the strong growth we achieved both in the U.S. and across our international markets.
 Gross margins in the fourth quarter was 73.5% on a non-GAAP basis, compared to 72.8% from a year ago. Margins can vary from period-to-period primarily due to level of implementation services required relative to the total contract value. Looking at operating expenses, total non-GAAP operating expenses for the quarter were $14.8 million compared with $11.8 million a year ago. We are excited about the successes we are seeing from our investment strategy and we’ll continue to invest as we look ahead to capitalize on what we believe is a very large market opportunity.
 Non-GAAP operating income exceeded the high end of our guided range principally as a result of revenue that was above the top end of expectations. Non-GAAP operating income in the fourth quarter increased 56% to $4.5 million or a non-GAAP margin of 17.2%. Based on a non-GAAP effective tax rate of 29%, non-GAAP net income was $3.2 million for the quarter, an increase of 45% over the prior year, exceeding the high end of guidance. Non-GAAP earnings per share was $0.11 compared to $0.08 per share last year. On a GAAP basis earnings per share was $0.08 also exceeding our guidance. Our reconciliation of GAAP to non-GAAP is provided in our press release.
 Turning to our full year results, non-GAAP revenue was $96.6 million compared to $74.2 million in 2010, an increase of 30%. License and implementation revenue increased 40% [ph] over last year and maintenance revenue increased $4.4 million or 15% over last year. These are very strong results which reflect the investments we have made in our business and follow-on services to our existing customer base. In addition, based on our revenue recognition model, 2011 benefited from business closed in 2010, which was a return to more normal spending patterns after the recession. 
 Our non-GAAP gross profit was $71.4 million for the year, yielding gross margins of 73.9%, a slight increase compare to gross margins of 73.5% for the year ended 2010. Our non-GAAP research and development expenses increased $4.6 million to $24.1 million or 25% of revenue. Non-GAAP selling, general, administrative expenses for the full year were $31.9 million or 33% of revenue, an increase of approximately $6.4 million over 2010. The increase in expenses is consistent with focusing on investing in the business to drive long-term growth.
 Non-GAAP operating income was $15.4 million for the year, up 62% over 2010, resulting an non-GAAP operating margins of 16%. Our operating margins were above our prior expectations, primarily due to our revenue outperformance. This compares to operating income of $9.5 million and operating margins of 12.9% in 2010. Our non-GAAP effective tax rate was approximately 31% for the year, including the tax effect of the R&E tax credit as compared to approximately 29% in 2010. Non-GAAP earnings per share for the year was $0.39, compared to $0.25 last year. On a GAAP basis net income was $0.23 per share.
 Now moving to the balance sheet, we ended the year with cash and cash equivalence of $68.5 million, an increase of $12.6 million from last year. Gross accounts receivable at the end of the year was $33.9 million. Day sales outstanding were approximately 107 days, slightly above our historical average which considers normal variations and accounts receivable and the timing of collections and invoicing of milestone billings under our contracts.
 We continue to generate operating cash flow with approximately $3.2 million of operating cash flow generated in the quarter, yielding a cash flow margin of 12%. For the year operating cash flow was $14.2 million yielding cash flow margins of 14.7%.
 Finally, head count, including outsourcing at the end of the year was 540, up from 429 at the end of 2010, an increase of 111 or 26%. We continue increase our sales, marketing, engineering, professional services and administrative resources, which reflects our confidence in our business to drive long-term growth. 
 Backlog at the end of 2011 was $124.1 million compared to a $107 million at the end of 2010, an increase of 16%. Our backlog is the remaining revenue expected to be recognized from our agreements to provide products, related implementation and maintenance services. The portion of our 2011 ending backlog estimated to be recognized as revenue within the next 12 months is $85.8 million an increase of 19% over 2010. We enter 2012 with solid visibility.
 Before I turn to our guidance for the first quarter of 2012 let me provide you with some additional information. While we expect our past history of variability in sales from quarter-to-quarter will continue, we are pleased with our sales activity for the full year. Interest levels in our pricing and revenue optimization solutions remain very high and we continue to benefit from our diversification across many industries and geographies. We also see increased opportunities to win new business and recognize the revenue within the year especially if recent trends of follow-on services to our existing customer base continues.
 We continue to believe making strategic investments to drive our future growth is the right thing to do, as evidence by our performance in 2011 and this strategy continues to guide our decisions. At the same time, a long-term growth could also be supported by acquisitions considering our strong balance sheet. While we have no specific activity to announce at this time, we have and we will consider acquisitions that support our strategic long-term objectives.
 Now turning to our outlook. For the first quarter, we anticipate revenue in the range of $26.6 million to $27.1 million, approximately 25% growth year-over-year. We expect total expenses to be approximately $22.9 million, up from $21.7 million in the fourth quarter of 2011, as we continue to make strategic investments in our business. We expect non-GAAP operating income of $3.7 million to $4.2 million, which translates to non-GAAP operating margins of 13.9% to 15.5%. With a tax rate of 35% in the first quarter, we anticipate non-GAAP earnings per share of $0.09 to $0.10 based on estimated 28.2 million shares outstanding.
 The Research and Experimentation Tax Credit has not been renewed for 2012. The credit has expired a number of times since it was originally enacted in 1981 and each time except for a brief period in 1995 it has been retroactively reinstated. If the credit is reinstated during 2012, and if it is retroactive to the beginning of the year as it has been the case in the past, then we will make a cumulative adjustment in the quarter in which the tax credit is reinstated as we did during 2010. Should the Research and Experimentation Tax Credit be reinstated, the estimated tax rate for year would be 31%. Including stock-based compensation expenses of approximately $1.6 million, we anticipate GAAP earnings per share in the range of $0.05 to $0.06.
 For the full-year, we expect revenue growth of approximately 20%. We believe this represents strong year-over-year growth off of tough comps. Regarding expenses, with the full effect of our hires to be felt in 2012, continued investments in our long-term growth and considering our actual non-GAAP 2011 operating margins exceeded our expectations, we expect for 2012 that non-GAAP operating margins will approximate 2011 levels. We continue to believe that long-term, we will see increasing operating margin leverage as our business scales and we realize the benefits of our investments.
 In summary, we are pleased with our performance in the fourth quarter and the full year and believe we are very well positioned for strong performance in 2012. We believe that the investments we are making will further strengthen our market position, growth prospects and margin expansion over the long-term.
 With that, let me turn the call back to the operator for questions. 
Operator: (Operator Instructions) And our first question comes from the line John DiFucci with JP Morgan. 
John DiFucci: I guess, first question, Andres, can you talk a little bit [indiscernible] things. One, the midmarket and your SaaS offerings. Can you give kind of update on how that’s going with your partnerships with sales force and iServiceGlobe? And then secondly -- I guess, so you built up a sales force. You said 28 people at this point. Can you tell us little bit about your plans for extending that going forward into 2012? 
Andres Reiner: Okay, perfect. So on the mid market, we obviously believe we’re at the right place at the right time. We believe the need for pricing technology in the midmarket is just as high as it is in the enterprise. As we said this was released a year ago and it’s still early stage given it's less than a year since we releasd it. But we’re seeing a lot of the interest and demand. We have signed our first customer for the deal quoting solution, but it’s still very early stage. We do see quite a bit of interest in the market and are continuing to invest both in sales and marketing as well as continued innovation within that solution. 
John DiFucci: Okay. 
Andres Reiner: So with respect to quota-carrying sales people, we expect to grow quota-carrying sales people by approximately 40% in this year. 
John DiFucci: Okay. Well that’s a big number. And I guess when I look at that, Charlie, and I look at the sales force here now, the capacity you even have now versus the beginning of the year and then growing it. And I look at your backlog which looks really strong and 86 million I think you said was going to be recognized this year, it looks like you got to sign an additional 20 million -- I’m sorry, 30 million or maybe little bit more of revenue to be recognized. Obviously there’s a lot more that needs to be booked in order to recognize that revenues this year. But it sounds like the capacity you have -- I guess it doesn’t make that, to me, seem like a big stretch and I guess if -- it looks like the world is getting a little bit better out there, and I think it's still prudent to be a little bit cautious but it does look like things are getting little better. What are your thoughts just on that capacity growth and like how long did it I guess take to get some of these people I guess up and running to full capacity given sort of the long lead cycle on your products, your solutions? 
Charles Murphy: Yes, John, that’s a great question. I think you started -- you hit one of the point that we want to make and that is that we're still somewhat concerned about the macro economy out there and obviously there are lot of beggaries [ph] as we went through 2011 and we obviously performed well. But we still have that situation going into 2012. So we think it’s prudent not to get ahead ourselves and to provide guidance that has some stretch to it but that we're reasonably obviously comfortable we'd be able to achieve. As far as the adding a number of new sales people, which we are planning on doing, we're are also expanding our reach geographically as well. So we’ve made a significant investment particularly last year and we’ll continue this year even more so. And I know Europe may not be a -- may have some connotations that may not be positive but for us historically Europe has been a very good base of business for us. And our growth in Europe this year was very good. I should say last year was very good. We're very pleased with it. So you see investments in our sales organization not only here and in United States, but also in Europe and in other parts of the world. Now, as far as the time, it does take time to get the sales force schooled up. I think Andres has mentioned previously we've invested a lot over the last 18 months in improving our on-boarding processes. We have expanded the sale force. We top-graded the sales force and -- but it still takes time to get these very qualified individuals up to speed. We are talking six to nine months to get them to a point where we are comfortable expecting that they should be in a position to close deals. Part of that also too is the long sales cycle. So -- sales people are coming into a situation and the sales cycles still continue to be very long. So it’s really the combination of all those factors that say we believe it’s right to invest. If the economy obviously is better than -- better than what some of the expectations are at stake, there perhaps could be some upside for us in 2012, but it’s prudent not be anticipating that now. Andres, anything else? 
Andres Reiner: Yes. I agree with Charlie. I mean we feel very good about our guidance and where we're starting the year. In terms of adding sales reps, our focus is not just 2012 growth, but 2013 and beyond. And as Charlie said taking six to nine months to ramp the sale organization where we're really focusing our investment. Not just for growth this year, but how do we maintain growth for years to come. 
Operator: Our next question comes from the line of Tom Ernst with Deutsche Bank. 
Thomas Ernst: This is Joven on behalf of Tom. So obviously 2011 was a great year. You guys grew license revenues 40% year-over-year. Arguably you guys had easy comps last year, but as we look ahead given that this an under-penetrated market and there is a lot of room for you to grow, what do you think is kind of a steady state two to three year license growth rate that we should be looking at? And the second part of my question is, looks like there is a lot of focus on direct selling in 2012. Can you talk about how some of your recent partnerships with partners have ramped up and what is the approximate revenue contribution today? 
Andres Reiner: Yes. I’ll take the question around the partner ecosystem. So, overall we’re very pleased with our whole partner ecosystem program as we talked about before. On the SI front, partners like, Accenture, Deloitte, Wipro and L&T are continuing to strengthen about 40% over implementations. We had a partner evolve [ph] in 2011. So we feel very strong about our SI partner program and their ability to help us in influence account. In terms of our technology partners, our investments with our partnership with Microsoft has been very strategic for us and as we joining their chemical reference architecture program with a Microsoft and we’re continuing to make that partnerships stronger and stronger. So our focus on the SAP front on us having the latest technology integration with the both the ERP and the CRM. In terms of our reseller program, we’re continuing to invest, especially on the areas of sales and marketing and awareness in demand generation. We held multiple events in the fourth quarter in Shanghai, São Paulo, Madrid, to name a few, with those partners and we’re seeing strong demand in those markets and we’re actively pursuing opportunities in those markets with the partners. So we’re very happy with the progress across the board in the partner ecosystem including the reseller partners. 
Charles Murphy: Yes. Joven, regarding the long-term outlook for revenue growth, it’s probably little bit too early to be giving you specific guidance on that. We are -- obviously we have the balance sheet to invest. We have the profitability to invest. We’re doing that because we believe in the big market opportunity, which is your point. The market still is under-penetrated and we’re guiding this year to about 20% revenue growth, which we’ve commented on. I would like to think that the 20% growth should be a reasonable growth for period of time, but we don’t want to say anything more than that. 
Thomas Ernst: Okay. I guess my follow-up to that would be, do you guys still feel your distribution constrained or do you still think there’s a lot more productivity to be got from exciting sales force? 
Andres Reiner: I think the constraint really is the awareness in the market place and we’ve invested a lot in marketing over the last two years to help create great awareness in the marketing place. And that’s why we’re investing in some of these other initiative, such as SI initiative we talked about, the resell initiative we have talked about. The number of conferences we go to. We’ve learned recently that one of the major pricing organizations in the United States came out and said they had record attendance last year at the conferences. That’s a professional pricing society. I think it’s more of an awareness. It's not, "Is the ROI there?" The ROI is there. The customer satisfaction is there. We just need to get the awareness up to get the adoption up. 
Operator: Our next question comes from the line of Chad Bennett with Craig-Hallum. 
Chad Bennett: So a couple of questions. Is there a way to quantify with the sales heads you added this year, how much benefit you saw this year? Probably not much from a revenue standpoint, but some, but more importantly in the backlog. And shouldn't we expect a fair amount of benefit out of those people in 2012 here? 
Andres Reiner: I wouldn't say it's easy to quantify the percentage. Obviously our investments in sales and the sales people that we’ve added over the last 18 months greatly contributed to our success last year. We expect that will continue. The head count that we add this year will probably have minimal impact to this year. But as we said, we feel stronger about this year because the sales force that we have now have some more tenure and is more experienced and we are very, very happy with their performance. 
Chad Bennett: So the new people you added this year contributed decently to backlog at the end of the year? 
Andres Reiner: There was a percentage of the individuals added last year that contributed to the backlog. 
Chad Bennett: But they should be productive this year, right? 
Andres Reiner: Yes. We expect them to be more productive this year. Absolutely. 
Chad Bennett: Okay. And I don’t know if this is -- I don’t recall if this is a relevant metric for you, but would your pipeline growth, however you look at it at this point in time be different from your backlog growth? 
Charles Murphy: Yes. I would say, yes. I would say the pipeline growth is different than the backlog growth and I think it’s comfortable for us to say is that the pipeline is up more than the backline growth is up -- more than the backlog growth is up. 
Chad Bennett: Okay. So I mean, is there any type of -- I mean is it up -- back -- short-term's backlog is up 19, 20. Is pipeline up double that? 
Charles Murphy: Yes. I think -- I don't think we want to get into quantifying it, but it is up. We're comfortable saying. The awareness is up and of course we have a long way to go on awareness because it's still a significantly under-penetrated market. It’s really question of how quickly -- and sales cycles are still long -- and how quickly can the sales force help convert some of those long sales cycles into bookings. 
Chad Bennett: Did you see throughout the year in back -- as backlog built and progressed year-over-year, especially I guess in the fourth quarter, did you see any different I guess trend in momentum of the backlog towards the last quarter of the year? I mean, did you see different -- any different change in order patterns or anything in the fourth quarter of the year? 
Andres Reiner: We -- I mean, we had a strong fourth quarter, but I wouldn’t say it’s -- that there was anything that... 
Charles Murphy: Unusual. 
Andres Reiner: Unusual. 
Chad Bennett: Okay. 
Andres Reiner: And overall -- as we said, all the leading indicators from the demand side, we have been saying it last year, they’ve been trending in a positive direction. We feel very good about the leading indicators. Obviously those are earlier leading indicators than the pipeline and we feel good about the leading indicators. 
Chad Bennett: So you’ve seen no change in close rates or sales cycles? Nothing's extended or anything like that, right? 
Andres Reiner: Yes. We haven’t seen any material changes. It’s been fairly constant and in fact our closure time to close the deal hasn't materially changed. It's about the same. That’s... 
Chad Bennett: Got it. So Charlie, I understand you guys are going to invest again pretty heavily, but I think when we were on the same call last year, you talked about flattish gross margins, and lo and behold gross margins I think grew -- I’m sorry, operating margins. Lo and behold operating margins grew 300 basis points year-over-year? 
Andres Reiner: Yes. 
Chad Bennett: So you’re talking about flattish again. I guess -- can you invest at the rate assuming you’re getting the revenue from the right places, which I guess it doesn’t matter if it's L&I or maintenance. I guess can you invest fast enough to hold operating margins down? 
Andres Reiner: Yes. I think that’s a good question. As you know, in 2011 really what contributed to the revenue growth -- I’m sorry, the operating margin growth wasn't the lack of spending. We spent to our plan and we did have a bit of challenge ramping the spending up as the revenue accelerated. The revenue certainly accelerated in 2011. So looking at a lower revenue acceleration in 2012 of 20%, we've got the plan. We’ve already brought in a significant number of people in the first quarter of this year. So we’re certainly on-track on our spending side. So it could happen that perhaps revenues gets far enough ahead of us, which would be a great thing if it did -- it’s not expected today -- that perhaps we end up with higher operating income margins. But today I think the plan is the plan. It's the one that we’re working towards, which is 20% revenue and operating margins on non-GAAP basis of, let’s say, the mid-15% range. 
Chad Bennett: Okay. And then last question should be fairly straight forward. Charlie, how should we think about -- I don’t recall FX impact on the business? 
Charles Murphy: The FX impact, it’s pretty much consistent with historical levels. We had a $100,000 loss for the year, and that came in the fourth quarter, by the way. Up to the first nine months of the year it was nothing and then the fourth quarter year we had $100,000 loss. You can go back the last three years and it’s been plus or minus $100,000. So we haven’t had any significant impact to the company’s operations as result of foreign exchange. 
Operator: Our next question comes from the line of Jesse Holston [ph] with Pacific Crest. 
Unknown Analyst: Just real quick. You mentioned that awareness has been growing for pricing. Can you talk about the competitive environment? How are win rates? How you guys doing in bake-off type situations? 
Andres Reiner: Yes. So we’re pleased with our win rate. We’re very pleased with our win rate. In terms of the competitive environment there has been no material change. It’s been very consistent with what we said through last year is really -- Vendavo is one of the primary competitors we’re face to face. We do see in some situation [indiscernible]. Don’t see them as much as we did 2 years ago, but overall -- or, we feel in a very strong position and strong differentiation in our technologies. The real focus has been from a market is not as much a competition. We respect the competition, but our focus is at 95% of the market that’s not using price optimization software and that’s really we’re putting all of our energy. That’s how we’re going to grow the business faster is getting more companies that are using spreadsheets or is not using any technology to do pricing to adopt our technology. 
Unknown Analyst: And you talked a little bit about your partnership initiatives. How should we think about I guess pulled in revenues from your SI partners. Are you using them primarily as just an expansion of your services team or are they materially influencing deals? And has that improved, and do you see it improving? 
Andres Reiner: Yes. So partners are helping to play a reference role in accounts and that area is improving and that’s an area that we said that’s our whole focus around SI partners is to play an influence role. We said it’s not around them closing business. That’s the resellers, but partners is more around playing a reference role. Because they have a experience in deploying our solutions and seeing our quality, our partnership approach. In some accounts they are complementing our team, and there is some in follow-on business where they may be doing the implementation for a few other divisions or other modules that customers are implementing. 
Operator: (Operator Instructions) Our next question comes from the line of Ian Kell with Northland. 
Ian Kell: Most of my questions have been asked. I'm just curious, in terms of backlog, how does that breakout between some of your more traditional end-markets versus your target markets, the ND&S [ph]? 
Charles Murphy: Yes. Actually -- yes. Since we look at the company as one company -- I think we commented on this a couple of times last year -- we really don’t breakout the business. Nor do we view the business really as separate pieces. So we're really not in the position to break out the backlog across different industries. But I would say the backlog is strong across our industries. We are very pleased with it. Revenue was up last year across our industries, so we are very pleased with that as well. 
Ian Kell: Okay. On the acquisition side, I mean, can you talk a little bit about -- as much details you can give anyway -- about what areas you're looking at, or anything along those lines just to give us idea or an update? 
Andres Reiner: Yes. So overall we are very pleased with our organic growth and how we are executing. We're looking at strategic acquisitions to drive to our vision of PROS being at the heart of business and helping to improve revenue or profitability, still having price as the core key component. And there are opportunities that we are always looking, but there is nothing eminent at this point. 
Ian Kell: Okay. And then my final one here. It sounds like the market at this point is -- the way you guys talked and some other people in the industry -- kind of entering in the next phase of its development. More mature obviously. But I wonder if you can comment, Andres, on where you see this market as a whole being in the three year time frame. I mean, is it -- are we going to be still be looking at a handful of competitors like you, or is there - does this make sense? What’s the market just going to look like here as we move down the road that we’re on? 
Andres Reiner: Well, it’s hard to say what it would look. I do believe that pricing is very strategic and the themes around big data and predictive analytics, pricing is one of those technologies that actually drives a better business intelligence within a more intelligent enterprise, and we believe our technology is very well positioned. Companies have investment so much in data, but today companies don’t really have the tools to really monetize that data and to make better decisions. And pricing is a great example of leveraging both structured and unstructured data to make strategic decisions that drive profitability in revenue growth. And we’re really focused on our execution and growing the business. We still believe that our science capabilities and the differentiation in our innovation side and all of our investments in the product really will end up differentiating us in the future for years to come. 
Operator: Our next question comes from the line of Ross MacMillan with Jefferies. 
Ross MacMillan: Hey, Charlie, I had a question on the maintenance and support growth. It’s obviously lagged the growth of L&I this past year. But do you expect maintenance and support to grow faster in calendar ‘12 because of that historic higher growth in L&I? Is that something that we’ll see in the model? 
Charles Murphy: Yes. We’re expecting maintenance to grow at a greater rate in 2012 than it did in 2011, and I think for the points you mentioned. So we do expect to see maintenance growth be a bit higher. Still in the teens, perhaps mid-to-high teens, but higher. 
Ross MacMillan: Okay. That’s great. And second question. Could you just clarify -- I know you said it, but I want to make sure I caught it. What was the mix between international and domestic for the year? 
Charles Murphy: Yes. We actually -- what we wanted, too -- very specifically too, is to talk about Europe which is 28% of our revenue, rounding up. And we wanted to -- within Europe. I wanted to get some color on that too, because that seems to be a question -- is that we’re very strong on the countries like Germany, UK, France, the Nordics and Austria. That’s where the vast majority of our European revenue comes from. And if you put in the other Eastern European countries, we’re at about 20%, 24% -- I’m sorry, about 23% of that 28% of the revenues from countries are deemed to be very, very strong countries. So I think that’s a good position to be in. The overall revenue mix, I think even long-term looking out -- we’ve had about 60/40 split. This year was a bit higher, but we would still look at the 60/40 as being a reasonable split, at least something for 2012. I really can’t talk beyond that, but this year it was a little higher for 2011. I believe it was 68%? 64% -- I’m sorry, 64% and 36%. 
Ross MacMillan: Okay, great. And Charlie, I think you had mentioned that there might a one-time tax benefit in Q4. It didn’t look it came through. Can you just remind me of what that was and timing? 
Charles Murphy: Exactly. It wasn't -- it was a cash refund. If you’re referring to a tax benefit, it was a cash refund of approximately $2.8 million. 
Ross MacMillan: And it was in Q4? 
Charles Murphy: It was in Q4, and that was offset by a higher tax payment that we made in Q4, and I did want to comment on this as well. Based upon the most recent analysis we have, we will have a refund of taxes in 2012, because the taxes were overpaid in 2011. So it’s almost like those two should have washed, Ross. We should had a little more positive cash flow from operations in Q4, because the tax spend we made in Q4 really wasn’t necessary. It’s going to be coming back to us in Q1 and Q2 of 2012. 
Ross MacMillan: Okay. And did you help us with the full year tax assumption for ‘12 and non-GAAP tax rate that we should think about? 
Charles Murphy: For 2012 we are talking 35% and the reason is that currently the Research and Experimentation Credit, which has been giving us about a 3% to 4% benefit on our tax rate, has not been reinstated for 2012 as of yet. 
Ross MacMillan: Yes. Okay. That’s helpful. 
Charles Murphy: It's usually 35% and if it gets reinstated we’ll obviously have a benefit in the period when it is reinstated. 
Ross MacMillan: Great. And then last one, maybe to Andres. You talked about how pricing is becoming more relevant in a big data world. Can you help us understand what new technology partnerships may you be seeking as you try to take advantage of some of the new technologies that allow you to maybe take advantages of things like in memory computing or other approaches to fast data upload and analysis? 
Andres Reiner: Yes. So we are leveraging the same part -- say 2 strong technology partnerships. Microsoft, number 1, and also SAP. Those are the 2 that we are investing in and have been investing in. 
Ross MacMillan: Are working toward a version of your products on top of Hanna or is it too early to say? 
Andres Reiner: It's too early to say. 
Operator: Ladies and gentlemen, I show no further questions at this time. I would like to turn the call back over to Andres Reiner for closing comment. Go ahead. 
Andres Reiner: Thanks for your participation in today’s call and for your support of PROS. Our accomplishments in 2011 are reflective of the great people, customers and partners we are proud to have at PROS. These are the ingredients that will fuel our continued growth in success in the future. As more some companies recognize that pricing and revenue management software is essential for competing in their markets, we believe that PROS' value proposition is unequalled. We have made great progress in 2011 and look forward to another strong year of execution in 2012. Thank you very much for your time, and we look forward to speaking with you on our next call. 
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. That does conclude the presentation. You may now disconnect.